Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Essent Group Ltd. First Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Phil Stefano, Investor Relations. Please go ahead.
Phil Stefano: Thank you, Regina. Good morning, everyone, and welcome to our call. Joining me today are Mark Casale, Chairman and CEO; and David Weinstock, Chief Financial Officer. Also, on hand for the Q&A portion of the call is Chris Curran, President of Essent Guaranty. Our press release, which contains Essent's financial results for the first quarter of 2025 was issued earlier today and is available on our website at essentgroup.com. Prior to getting started, I would like to remind participants that today's discussions are being recorded and will include the use of forward-looking statements. These statements are based on current expectations, estimates, projections, and assumptions that are subject to risks and uncertainties, which may cause actual results to differ materially. For a discussion of these risks and uncertainties, please review the cautionary language regarding forward-looking statements in today's press release, the risk factors included in our Form 10-K filed with the SEC on February 18, 2025, and any other reports and registration statements filed with the SEC, which are also available on our website. Now let me turn the call over to Mark.
Mark Casale: Thanks, Phil, and good morning, everyone. Earlier today, we released our first quarter 2025 financial results, which continue to benefit from the impact of higher interest rates on the persistency of our insured portfolio and investment yields. We believe that our buy, manage and distribute operating model uniquely positions us to operate in a variety of economic environments to generate attractive returns for our shareholders. Our outlook over the long term remains constructive as we believe that favorable demographic trends along with current affordability issues are resulting in pent-up demand for housing. Even though we anticipate some headwinds to consumer spending and economic growth over the near term, given the high credit quality of our insured portfolio and the strength of our operating model, Essent is positioned to navigate this environment. And now for our results. For the first quarter of 2025, we reported net income of $175 million compared to $182 million a year ago. On a diluted per share basis, we earned $1.69 for the first quarter compared to $1.70 a year ago. On an annualized basis, our return on average equity was 12% in the quarter. On the mortgage insurance front, lenders continue to be challenged by lower originations due to the impacts of higher rates, affordability and overall lack of supply. This, in turn, also impacts the amount of new insurance written that our industry generates. While our industry is competitive in this environment, systematic credit guardrails established by the GSEs continue to mitigate credit box expansion. As such, we remain satisfied with the credit quality and unit economics of our new business. As of March 31, our U.S. mortgage insurance in force was $245 billion, a 3% increase versus a year ago. The credit quality of our insurance in force remains strong, with a weighted average FICO of 746 and a weighted average original LTV of 93%. Our 12-month persistency on March 31 was 86%, flat from last quarter, while half of our in-force portfolio has a note rate of 5% or lower. We continue to expect that the current level of mortgage rates will support elevated persistency in the near term. Our consolidated cash and investments as of March 31 were $6.4 billion, and our new money yield in the first quarter remained over 5%. The annualized investment yield for the first quarter was 3.8%, while new money rates have largely held stable over the past several quarters and remain a tailwind for investment income. We continue to operate from a position of strength with $5.7 billion in GAAP equity, access to $1.5 billion in excess of loss reinsurance and a PMIERs efficiency ratio of 172%. With a trailing 12-month operating cash flow of $866 million, our franchise remains well positioned from an earnings, cash flow and balance sheet perspective. Our capital strategy seeks to balance a conservative balance sheet, preserving optionality for strategic growth opportunities and optimizing shareholder returns over the long term. With that in mind, I am pleased to announce that our Board has approved a common dividend of $0.31 for the second quarter of 2025. At the same time, we recognize that our excess capital position and stock valuation present us with an opportunity to be proactive in returning capital to shareholders. As previously discussed, we are valuation-sensitive when it comes to buying back shares, believing this strategy will support our long-term goal of compounding book value per share growth. Year-to-date through April 30, we repurchased nearly 4 million shares for over $200 million. Now let me turn the call over to Dave.
David Weinstock: Thanks, Mark, and good morning, everyone. Let me review our results for the quarter in a little more detail. For the first quarter, we earned $1.69 per diluted share compared to $1.58 last quarter and $1.70 in the first quarter a year ago. In connection with accounting guidance effective as of year-end 2024, public companies with a single reportable segment are required to disclose results by segment. We have 1 reportable segment, mortgage insurance, which aggregates our U.S. mortgage insurance business and our GSE and other mortgage reinsurance business at our subsidiary, Essent Re. My comments today are going to focus primarily on the mortgage insurance segment results. There's additional information on corporate and other results in the financial supplement in Exhibit O. Our U.S. mortgage insurance portfolio ended the first quarter with insurance in force of $244.7 billion, an increase of $1 billion from December 31 and an increase of $6.2 billion or 2.6% compared to $238.5 billion at March 31, 2024. Persistency at March 31, 2025, was 85.7%, unchanged from the fourth quarter. Mortgage insurance net premium earned for the first quarter of 2025 was $234 million and included $15.5 million of premiums earned by Essent Re on our third-party business. The average base premium rate for the U.S. mortgage insurance portfolio for the first quarter was 41 basis points, consistent with last quarter, and the average net premium rate was 36 basis points for the first quarter of 2025, increasing 1 basis point from last quarter. Our mortgage insurance provision for losses and loss adjustment expenses was $30.7 million in the first quarter of 2025 compared to $37.3 million in the fourth quarter of 2024. As a reminder, our fourth quarter provision included $8 million for defaults that we identified as related to Hurricane Helene and Milton. While we observed a decline in the number of hurricane-related defaults in the first quarter due to cure activity, we made no changes in the reserve for hurricane-related defaults as this amount continues to be our best estimate of the ultimate lawsuits to be incurred for claims associated with those defaults. At March 31, the default rate on the U.S. mortgage insurance portfolio was 2.19%, down 8 basis points from 2.27% at December 31, 2024. Mortgage insurance operating expenses in the first quarter were $43.6 million, and the expense ratio was 18.7% compared to $39.9 million and 17.5% in the fourth quarter. For the full year 2024, operating expenses for the mortgage insurance segment totaled $160 million. We estimate that other underwriting and operating expenses for the mortgage insurance segment will be between $160 million and $165 million for the full year 2025. In April, we entered into 2 excess of loss transactions effective July 1 of each year, with panels of highly rated reinsurers to cover our 2025 and 2026 new insurance written. These transactions complement the 2 quota share transactions closed in the first quarter, and we continue to be encouraged by the strong demand from reinsurers for taking mortgage credit risk. In addition, in April, we decided to increase the ceding percentage of our affiliate quota share from 35% to 50% to further leverage our Bermuda platform. This increased session to Essent Re will be effective in the second quarter and will be retroactive to NIW starting from January 1, 2025. At March 31, Essent Guaranty's PMIERs sufficiency ratio was strong at 172% with $1.5 billion in excess available assets. Consolidated net investment income increased $1.7 million or 3% to $58.2 million in the first quarter of 2025 compared to last quarter, due primarily to a modest increase in overall portfolio yield. As Mark noted, our holding company liquidity remains strong and includes $500 million of undrawn revolver capacity under our committed credit facility. At March 31, we had $500 million of senior unsecured notes outstanding with a debt-to-capital ratio of 8%. During the first quarter, Essent Guaranty paid a dividend of $65 million to its U.S. holding company. Based on unassigned surplus at March 31, Essent Guaranty can pay additional ordinary dividends of $405 million in 2025. At quarter end, Essent Guaranty's statutory capital was $3.6 billion with a risk-to-capital ratio of 9.6:1. Note that statutory capital includes $2.5 billion of contingency reserves at March 31. During the first quarter, Essent Re paid a dividend of $100 million to Essent Group. Also in the quarter, Essent Group paid cash dividends totaling $31.7 million to shareholders, and we repurchased 2.8 million shares for $157 million. In April 2025, we repurchased 1.1 million shares for $61 million. Now let me turn the call back over to Mark.
Mark Casale: Thanks, Dave. In closing, we are pleased with our first quarter financial results as Essent continues to generate high-quality earnings while our balance sheet and liquidity remain strong. Our outlook for housing remains constructive over the long term, and we believe that Essent is well positioned to navigate the current environment, given the strength of our buy, manage and distribute operating model. Our strong earnings and cash flow continue to provide us with an opportunity to balance investing in our business and returning capital to shareholders. We believe this approach is in the best long-term interest of Essent and our stakeholders while Essent continues to play an integral role in supporting affordable and sustainable homeownership. Now let's get to your questions. Operator?
Operator: [Operator Instructions] Our first question will come from the line of Rick Shane with JPMorgan.
Rick Shane: Look, March, April have been unprecedented months in terms of volatility, in terms of some of the behaviors we've seen. When you think about where we are in the affordability cycle for homeownership, particularly for first-time homebuyers, do you think we are potentially reaching an inflection point where things will start to come the way of the consumer a little bit more? Or do you remain a little bit more cautious? And then delving a little bit more deeply into that, are there certain geographies where you are particularly optimistic or particularly cautious? And how do you adjust for that within your rates -- within your rate cards?
Mark Casale: Thanks for the questions. I think the first 1 on affordability, I'm not sure where we are in the cycle. And remember, just in context, we've had this anomaly, right? We had the COVID anomaly with super low rates and everyone just buying stuff, houses, boats, cars, bicycles. It drove up HPA 40% in some markets, 60% in others. And then boom, in the middle of 2022, rates shot up and a way just froze people. They call it the golden handcuffs, people with 3% mortgage rates and they stayed elevated. Rates went up and so this has really resulted in affordability because incomes didn't really grow and now you have higher home prices and higher rates. It really has created the second anomaly that we're still in. Fortunately for Essent, we're well positioned for this environment. We saw tailwinds in investment yields, and we've seen unprecedented persistency. In addition to still driving business and uniquely, Rick, the quality of borrower we're getting in this environment is actually quite good because of the affordability issues. Only the best kind of qualify. I do think, and I said this before, it's -- so when you think about our insurance in force, it's relatively flattish, which drives a lot of, what I'll call, free cash flow to the bottom line. So again, we're well positioned. But this next cycle will really play out or end when incomes catch up. And I think when incomes catch up, I don't really see rates going anywhere. I could see pockets of HPA declining, which I think is relatively healthy, but the consumer really is going to have to catch up. And then you're going to have life events, right? You're going to have people getting married, more homeownership formation, having more children, death, divorce, all those sort of things that will unlock some supply. But here's a great metric for where I think the market is a little bit stuck. The average age of the first-time homeowner was 38. That tells me there's a lot of pent-up demand for housing. So growth in our portfolio will renew. And longer term, Rick, for Essent and for the other mortgage insurers, we're going to grow the way housing grows in this country and it's always grown. It doesn't always grow in a straight line. That's why when we say longer term, we're constructive that we've been able to kind of wait this period out and continue to generate strong returns. The only problem I have is I'm not sure when that's going to happen. I don't think it's going to happen this year, but I think we're getting closer to it. I think on your location standpoint, I would say we -- with our pricing model, and remember, we have 2 parts to it. There's the engine -- the credit engine part of it, EssentEDGE, and then we just have ability to electronically deliver pricing. That allows us to kind of make a lot -- numerous pricing changes. We've actually raised pricing in certain markets during the first part of the year, really trying to test pricing elasticity where we may have a larger share in certain markets. Generally, we're more concentrated in areas where there's a lot more population growth. If you look at our segment, we tend to like places where people are moving to and jobs are moving to. And so we're more -- I would say we're a little bit more invested there. That being said, you're always trying to get more price in certain areas and then other places, you're backing off. So we look at it that way. And again, like I said in the earlier part, pockets of HPA decline, I do think longer term, are healthy for the market.
Rick Shane: Got it. No, it's been such an interesting cycle. And one of the things that we always talked about on our team is that not every cycle can be unprecedented. I'm hoping that eventually, we're going to be right on that. It's been sort of from unprecedented to unprecedented to unprecedented, it's almost exhausting. Thank you for your answers.
Mark Casale: You're welcome. Hang in there.
Operator: Our next question will come from the line of Terry Ma with Barclays.
Terry Ma: Mark, I'm just curious. Just given all the uncertainty around macro and the headlines around tariffs, I'm just curious to think to get how you're thinking about managing risk overall. And like have you done anything on the pricing underwriting side? And at what point will you do so to kind of adjust for that?
Mark Casale: It's a good question, Terry. I would say we have. Like I said earlier, we've raised pricing in the first quarter in certain markets, but that was more micro-oriented, so to speak, around pricing elasticity. I think on a macro standpoint, we're in a little bit of a wait and see with the impact of tariffs. So to give you some kind of background in terms of our pricing, we generally price through the cycle, right, which could mean good environments and bad environments. We don't particularly look and say, well, we think the next 3 months could be challenging. Therefore, we're going to change our pricing. Just like we don't look and say, well, the market is going to be great for the next 6 months so it's lower our pricing. So you have to kind of think it through the cycle. I think there's going to need to be a catalyst, an event, right? Tariffs could be an event. COVID was an event. And when COVID was an event, we could see that the economy was going to slow considerably and that our pricing through this cycle was going to have to change. And we -- along with all the mortgage insurers, we're able to change our pricing very quickly, again, another advantage for the engine. But right now, we're not seeing it. And we're going to have to wait to see how it plays out, right? I mean, there's obviously a lot of puts and takes. But right now, there's no real changes on the pricing front.
Terry Ma: Got it. That's helpful. And then just more broadly speaking, how are you thinking about credit loss expectations? I think you pointed toward a 2% to 3% default rate as still being within expectations last quarter. Is that still the case?
Mark Casale: Yes, very much so, right? I mean, I think we're in the lower end of that right now, and we may not hit 3% depending on where defaults come in through the back half of the year. They tend to increase a little bit more in the back half of the year. And Terry, it's a little bit of just math, right? I mean, roughly 800,000 loans and close to 18,000 defaults. You can kind of do the math and see what the percentages is. I would look -- two things to note there. One, big picture, we really are -- we own that first loss piece. We hedge out the mezz and we kind of reattach at the cat. So we don't get too kind of upset or fluxed around this kind of between 2% and 3%. And second, we provide the provision when they miss 2 payments. But depending on the vintage and the build in kind of HPA, they may not necessarily result in a claim. I mean, we provide for that because that's our expectations within our model. But as you've seen in the past, people -- the severity where they end up selling the house and we don't pay a claim. So I wouldn't necessarily jump to a default rate necessarily leading to cash out the door for Essent. That's where really the rule it comes down to is do we write a check and pay a claim. And to date, we haven't really done much of that.
Operator: Our next question comes from the line of Bose George with KBW.
Bose George: In terms of buybacks, maybe I missed this, but how much of the buybacks occurred in the first quarter versus April?
David Weinstock: This is Dave Winestock. $157 million of the buybacks were in the first quarter. And then we purchased about 1 million shares for -- actually, we purchased 1.1 million shares for $61 million. So it was 2.8 million shares for $157 million in the first quarter, 1.1 million shares for $61 million in April.
Bose George: Okay, great. And then just with the comments you made about the new 50% ceding to Essent Re, in terms of the tax rate, so I assume the tax rate on the incremental piece goes down over the next few years. And then can you just remind us, in 2030, does everything just bounce back to the domestic rate or is there some sort of phase-in at that point as well?
David Weinstock: Yes. No, Bose. You're right that the incremental will be -- we currently are, as we have talked about in prior calls, we have this limited international presence exemption where we are not paying taxes in Bermuda until 2030. But then once that exemption expires and beginning in 2030, we would expect to pay the 15% tax on earnings in Bermuda.
Mark Casale: And the other thing to note, Bose, just on the change in the affiliate is a little bit of -- it makes it more efficient to move cash from guarantee to the holdco, given that with the holdco sits in Bermuda. So that was another part of the thinking. It wasn't necessarily to drive a lower tax rate. It could be a little bit lower but really the efficiency of cash and capital management was a driver there.
David Weinstock: Yes. And just to add on what Mark said, because we're talking about really just the incremental piece on the current year's NIW, it's not going to really have any dramatic impact on this year's effective tax rate.
Operator: [Operator Instructions] Our next question will come from the line of Mihir Bhatia with Bank of America.
Mihir Bhatia: I wanted to start actually going back to the comment on pricing and just unit economics in general. I think, Mark, you mentioned you're still happy with new unit economics on NIW. But maybe just like taking a step back, big picture, how have unit economics on new business changed in, call it, the last 2 or 3 years? Obviously, interest rates are up. Sounds like you've done some micro movements around pricing. But overall, the gross premium rate has been in this 40, 41 bps range for 10 quarters. I'm just trying to think about how unit economics have changed, if at all, in the last 2, 3 years between interest rates and your credit expectations or your view on forward credit.
Mark Casale: It's a good question. I would say pricing in general have been -- the unit economics have been pretty steady. I would say they probably increased in the back half of '22 when there was a movement. I think we raised pricing in our engines across different MSAs, 12-plus times in '22. And so you don't necessarily see it on the yield on the book as it moves slower. But I would say, in the engine itself, we probably raised pricing 30-ish percent, if not more. So that -- so the overall pricing on NIW increased pretty significantly. And again, there was a little bit more risk, right, because you had higher LTVs and higher DTIs on some of that '22 business, given some of the affordability issues. But I would say, in general, the unit economics have been strong. We kind of target that 12% to 14-ish range. And I would say that's probably on the high end of the range here. And I think that's -- it's important for investors to think through that. There's a difference between -- because if you write good unit economics, that eventually will show up in your P&L. And conversely, if you write poor unit economics, that will show up. But for investors at Essent, it's important to differentiate between the unit economics that we're writing and kind of the core ROE that's on the balance sheet. The ROE in the balance sheet -- the GAAP ROE, there's drivers to that. It's equity and excess capital and certain things. You almost want to say what's -- you want to create what's the difference between the unit economics and the ROE on the balance sheet. Of course, the ROE that you print and the GAAP is the real ROE. But there's some optionality for us in retaining that capital and it's a very powerful optionality. And you have to, again, take a context from a longer-term investor, not quarter-to-quarter. We operate in a cat business. Our catastrophe happens to be a severe economic recession. We do a lot of things. We manage that expected loss very well to the extent we can. We hedge out a lot of the mezz, but we could reattach. And that's why we run all these different stresses. And we, as just as a management team, and you saw we bought back -- I would say we bought back more shares in the last 4 months than we have in the history of Essent. And part of that was we just we're valuation-sensitive. We saw an opportunity. We think the market kind of overreacts to certain things and that's fine. Having capital allows us to kind of lean in a little bit when we saw some value. And again, writing unit economics of 12% to 14% when your stock is trading at book or even below book, it was a pretty easy decision. But again, longer term, it's important. We like the optionality of capital because I think it gives us both opportunities, defensive here, right, if something bad happens. And I was on a call with all of our investors in February of '20 when people were questioning our growth. And then a month later, everyone is wondering if we're going to run out of capital. And I've seen the movie before. I've managed the mortgage insurer during the great financial crisis. I've been around through the subprime crisis in late '90s. I have a lot of scars and I've seen a lot of this. So I have a longer-term perspective with it. And I just believe capital, having that in times of stress will allow us -- it will be a big advantage for Essent. We'll be able to take advantage of an opportunity versus being defensive. And if that doesn't ever happen, okay, that's not the worst thing. And then conversely, there's strategic opportunities on the growth side. And again, you haven't heard me say this in a while, but with 6 mortgage insurers and 2 large mortgage companies consolidating in a slow market, you guys can kind of think through that consolidation isn't the worst answer for investors, right? If you're thinking of uses of excess capital, putting 2 large mortgage insurers together is not the worst answer for investors. So we kind of think through a lot of that optionality. And again, I know you asked a pricing question, but that's -- so when you see what's the gap, like geez, Mark, you guys have 14-ish percent unit economics and you're printing 12%, what's the difference? It's that optionality of holding the capital.
Mihir Bhatia : Right, right. That makes sense. You're talking about capital allocation. I did want to touch on the title business. You owned it for a little bit now. Any changes on your view of the opportunity there? Give us an update on just what's going on with that business and how you're thinking about it here as interest rates stay higher for longer.
Mark Casale: Yes, it's interesting, right? I think when you take a step back at Essent, the issue we have is we're in this pause for growth. In MI, we're very well positioned. Title's a transaction business. It's one of the reasons we're able to purchase it as such a good price, right? We did it when rates were already up, and you could see on the horizon that it was going to be pretty slow. So I don't want to say -- it's relatively expected. Again, when we think about the business longer term, we do believe it's going to perform a lot like Essent Re, which is supplemental earnings. The difference between Essent Re and Title is there's really no capital against title so it's relatively ROE accretive. That being said, we had a lot to do in terms of bringing the unit into Essent. I believe now we're in a good position. We have a good management team. We have a strong leader, which we didn't have before. And I think we're relatively positioned and we want to be positioned so when rates come down, and that means activating more lenders, a lot of things that we did on the MI side. And quite frankly, we have work to do. We continue to have work to do to -- and to sign up lenders and to continue to sign up agents. But I would say with the title, again, that's building business, it takes time. And I think I look at this more almost like an investor, and I feel like we're doing the right things in Title at this time. And then in terms of just the management team here, and this is for investors, I don't -- I have not spent much time on Title probably in the past 6 to 9 months. It's really been that team is in place. And I think that's why I have some comfort in how they're going to perform.
Operator: Our next question comes from the line of Geoffrey Dunn with Dowling & Partners.
Geoffrey Dunn: Given what you mentioned about the efficiency of the higher seat of Bermuda, can you provide any guidance in terms of how we think about dividend flows from the underwriting companies up to the holdco? Is this something where -- I mean, you've been regular with the Guaranty dividends. Is that something where that probably drops below $50 on a quarterly cadence, or we see more recurring higher dividends out of Essent Re? Anything you can provide us to give us a little framework around that?
David Weinstock: Geoff, it's Dave Weinstock. Yes, I don't know that I would think about the trade-offs between necessarily Essent Guaranty and Essent Re. I think we look at both entities and we try to think about the capital positions for both and the needs of the holding companies. So I think we'll continue to see dividends from both entities this year, subject to, obviously, what happens in the environment, right? So right now with where credit is and things like that, you can see the continued kind of pattern that we -- you can see a little bit of what we did in the first quarter playing out, subject to the year playing out based on our expectations and credit kind of staying relatively stable.
Mark Casale: Yes. And I think, Geoff, the way to look at it is we're going to continue to maximize the dividends out of both end of these, right? I think you can see whatever ordinary dividends we can get out of Guaranty, we're getting out of Guaranty, we're kind of pushing as much to holdco as we can. The difference is when it goes to U.S. holdings, we have to run it through different entities from a tax rate to get it to the group. So think of it the more we can just do the reinsurance, it just gets it right to Re, and then it's a little bit more frictionless getting it to the group. So I don't know how you can model it much differently. I think you'll see it a little bit over time. It's a little bit of, again, as you get to be a larger company and some of these things, a little bit of sweeping out the corners and trying to be more efficient that way. But it's really not going to change. The bigger decision is are we going to do a special dividend out of Guaranty? And that's really the only other way to get capital. At this point, it's not really in the cards but it's certainly a lever that we could pull if we had the opportunity. We would really need the opportunity to put that capital to work to do that.
Geoffrey Dunn: All right. And I don't want to try to take you too literally, but if you're maximizing dividends, does that mean you're aiming to take another $405 million out of Guaranty this year?
David Weinstock: Yes. With what we have left, there are some...
Mark Casale: Assuming credit stays relatively benign...
David Weinstock: Yes. I think that's a reasonable way to look at it. To Mark's comment, we would think over the balance of the year, with credit staying benign, that we would try to maximize that, yes.
Operator: That will conclude our question-and-answer session. I'll turn the call back over to management for any closing comments.
Mark Casale: Thanks, everyone, for participating today, and have a great weekend.
Operator: Thank you all for joining today's call. You may now disconnect.